Santiago Donato: Everyone, I'm Santiago Donato, Investor Relations Officer of Cresud, and I welcome you to the first quarter of fiscal year 2024 results conference call. First of all, I would like to remind you that both audio and slide show may be accessed through company's Investor Relations website at www.cresud.com.ar by clicking on the banner webcast link. The following presentation and the earnings release are also available for download on the company website. After management remarks, there will be a question-and-answer session for analysts and investors. [Operator Instructions]. Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead, sir.
Alejandro Elsztain: Good morning, everyone. We are beginning our first quarter 2024. And some good news coming in an increase of hectares for the plantation for grains mainly. And the country that this year is growing is Brazil in between the combination of developing land and increasing the acres that are they're leasing. We have this year much better conditions related to climate in Argentina. At the beginning, the rain didn't come. But in October, we began to see the recovery on the -- on our farms. So this is not affecting so good in the winter crops, but yes, we're optimistic related to the summer crops that are being planted now. Related to BrasilAgro, BrasilAgro began its sowing progress normally in Mato Grosso, 35% of the soybean have been planted. And the rest is under good conditions, but some doubts related to the Nino affecting Mapitoba. We had one sale done after the closing of this balance sheet, after 30th of September, we sold a portion of our Los Pozos, remembering that it's a huge farm. We sold 4,200 hectares. I will explain a little later details on that transaction and will be reflected in the second quarter. Related to dividends, this year Cresud received important dividends from subsidiaries, IRSA and BrasilAgro, mainly. And with those, there is a big recovery in the cash flow of the company and in the debt of the company, so Matias will later -- will explain. And at the same time, we are distributing good dividends to shareholders that they were approved in the 10 of May of this year -- on the 5 of October, sorry, and it's going to be distributed. Matias is going to explain some details about the problems on the distribution to the ADRs. So saying that, I will now introduce Mr. Diego Chillado to explain about the soybean and core markets.
Diego Biaus: Thanks, Alejandro. Good morning, everybody. On the Slide #3, we can see the evolution of commodity prices after the peak reached after the pandemic and boosted by Russia and Ukraine war, soybean and corn, international prices have an experienced correction as well as input cost too, but still in the high levels. Soybean and corn's [ total ] prices decreased approximately 6% since July 2023. And compared to the last year, corn is down 30% while saving just only 1%. Following -- in the next slide that shows the expected planted area in the region. We expect to plan 2,000 -- 290,000 hectares in the 4 countries -- sorry, where we operate; Argentina, Brazil, Bolivia and Paraguay, increasing the size slightly, 2.2%, compared to the previous campaign. Regarding our crop breakdown, we have a crop mix, but we produce mainly soybean and corn that's account for approximately 75% of our planted surface. Next, on this slide, we can see the climate conditions for the region, and they're showing progress. Regional weather conditions are better than the previous campaign, mainly in Argentina, where the last year was impacted by one of the historical worst drought. If you remember, the expectations are for regular or good campaign despite the lack of rain that impacted partially on the winter crop production at the beginning of the campaign. BrasilAgro started the campaign with a good sowing progress in Mato Grosso and some Nino impact in Mapitoba. Regarding sow progress in Argentina, 100% of the wheat was planted. And regarding soybean and corn, the regional progress is 18% and 8%, respectively, of course. I hand over to Alejandro, who will continue the presentation.
Alejandro Elsztain: We can show here in the map the size of Los Pozos farm that is really huge. Here we see the developed part and the portion that now we are selling it is the square -- red square. And here, we see 4,200 hectares of undeveloped land with potential to be productive, one buyer came and bought it in a price for $2.3 million, who already paid close to $1 million -- $0.9 million he paid, hard dollars. The rest will be collected in 2 years. The sale price divided the acres is $540, hard dollars. When we acquired this land and developed in 1995, we paid for that $10 and the CapEx included in the last 20 years of that region that is undeveloped -- almost undeveloped, it was $25 in average of the 4,000 hectares, representing that the same we are doing, it is 14x the investment on the lines. That will be in an accounting gain of ARS 700 million because of the value of the dollar. And we have the remaining surface of this farm of 235,000 hectares. So the demand is intending to expand. It's not only buying this, want to buy more. So we, after many years of not selling portions of Los Pozos, we like very much to have neighborhood develop. That was the reason we sold a small portion for the farm. If we move to the next page and then we brought this presentation because FyO closed the balance sheet in 30th September, this company made the 1st of October [indiscernible] of September balance sheet. And the company finished a very good year. And here, we see the evolution of FyO in 2 main metrics. One is the traded tons evolution. So this year, we closed the year with 5.5 million tons. So a small growth compared to the 6.6 million of last year. But we have to remember that Argentina almost lost half of the crop. So they represented close to 8% market share for the 3 main products that there are, soybean, corn and wheat. So this company that was averaging 3%, 4%, 5% of the market share of those 3 products, this year made a 8% or more than 8% market share and made and we've seen the evolution of the EBITDA, here, a company that in the past was not making money, these last 2 years was making an EBT of $28 million to $25 million. So this company that Cresud owns 50% is really growing fast and expanding not only to Argentina in inputs and outputs, but to the region, going to Brazil, Bolivia, Paraguay, Uruguay and Chile. So this company, a service company for farmers is really expanding a lot. So it's a part of the business of real estate that Cresud begun in the beginning related to the operational planting the 300,000 hectares of planted area. This is the third evolution servicing farmers for the future. Saying that, I will now -- will give the words to Matias to talk about IRSA investments.
Matias Gaivironsky: Thank you, Alejandro. Good morning, everybody. So if we turn to Page 8, we can see our investment in IRSA. After the dividend that we paid, our stake in IRSA today is 54.1% or 54.2%. IRSA had very good results during the quarter. We saw a strong financial and operational performance. In most of the segments, shopping malls have been growing and increased occupancy. The hotels today are performing very well. The most [indiscernible] today is Llao Llao in Patagonia, but the 2 hotels in Buenos Aires are performing very well. The offices, we saw a slight recovery in occupancy. And also IRSA was very active selling assets during the quarter. We sold 3 floors in the Della Polera building, an entire building, the Suipacha building, the stake in Quality that was the owner of a big plot of land in the San Martin area in the province of Buenos Aires. Also, IRSA dividends during the quarter, representing a dividend yield of 12% that Cresud collected, part of that. If we see the evolution of the rental EBITDA over the last years in dollar terms, you can notice the last 12 months that we are surpassing by 34%, a pre-pandemic level. reaching $176 million. That is almost our record in the past 3 years. So going through the results of Cresud. On Page 10, we can see what happened with the main 2 drivers on the macroeconomic side, what happened with inflation and devaluation. In real terms, the official exchange rate devaluated by 1% compared with an appreciation last year of 4%. Regarding the dollar MEP, the dollar MEP also increased by 64% this year, in real terms, 21%. That will have an impact in the valuation of investment properties of IRSA basically the offices and the land bank, we are using the dollar MEP to convert into pesos, and that generated a very important gain that we will see later. So on Page 11, on the operating results of Cresud during the quarter. Remember that the first quarter because of the seasonality is not the most relevant quarter of the year. So basically, we have the remaining corn campaign and the sowing process of the wheat and some sugarcane, but the rest of the grains are still early to see results. If we compare year-over-year, we can see a drop in the FyO results. This is related only to the seasonality. Last year, there was the special effects for farmers and the activity in that quarter was very relevant. This year is not happening. So the drop is mainly attributable to that. Then in the farming activity, we see a better result, but still a loss that -- we have losses in the grain segment that is more related to the impact of the inflation, nothing relevant to say at this stage. In sugarcane, we see a drop as well because it's more related to the Brazil activity where the prices are lower and there was an increase in costs. So the margin is lower, and this is the reason of the drop. The cattle activity in a slight loss, but it's just related to the inflation, prices increased lower than inflation. So our gross margin is positive, but when we apply the impact of inflation, turned to negative. So on a consolidated basis, leaving aside the impact of the fair value of the investment property that is basically IRSA, we see a gain or an increase by 10% on our results. The fair value of the investment properties itself -- we posted a very important gain, a ARS 100 million gain that is related to what I said, the revaluation or the impact of the increase in the dollar MEP. If we measure the properties in dollars, there is no major changes. It's stable. So it's just -- this is a noncash effect related to the devaluation. When we analyze the results on the net financial results. Here, we have the other important effect that is in the table in the first row, you have the net FX result, where you have a positive result last year, a negative result this year. This is related to other dollar-denominated debts. So the devaluation has a negative impact on last year, we have an appreciation that generated gains. If you see the net interest line, there is an important decrease. We are basically having half of the interest that we have last year. This is some related -- or most related to the decrease in the leverage on both IRSA and Cresud and partially some accounting effects that when you have pesos interest against the devaluation that was the interest payments were lower, we are posting a gain in that line. Well, with all those effects, we finished the first quarter of the fiscal year with a gain of ARS 78.9 billion attributable to our shareholders ARS 40.8 billion compared with ARS 8.2 billion last year. About our debt. We can see a decrease in our net debt from -- in fiscal year '21 from $421 million to $352 million at the end of the quarter. Basically, we are applying the proceeds of the dividends to cancel debt. So that is the reason of the drop. And regarding the debt amortization schedule, we have the distribution of the amortization over the next year. So there is no pressure on our capital structure. About our own dividend distribution, our shareholders' meeting on October 5 decided to distribute a dividend of ARS 22 billion in cash and 3% of the shares of IRSA. So combining the 2 is a dividend yield of 8.3%. Also, we decided to distribute the treasury shares. So we still did 1% of our own stock that was paid in Argentina on October 12. And unfortunately, regarding our GDS holders, there was a new rule of the CMB, the local SEC, that basically limit the availability of Bank of New York to distribute or to convert the pesos into dollars to distribute the dividends to the GDS holders. So we are working with them, trying to find a solution for this. What the company decides in the meantime was not to wire the money to Bank of New York. So we maintain the money, and we invested that money in a money market fund from Banco Santander. The idea was to try to mitigate the impact of inflation until we find a way to distribute the dividends in dollars. So the decision not to transfer the money to Bank of New York was with only this intention because if we wire the money Bank of New York will leave the funds without any kind of investments. And if there is an alternative in the future that we can solve this issue, if they have the money, will be impossible to implement. For that reason, we decided to preserve the funds from our shareholders. Finally, about our repurchase program, we decided to extend another 180 days, the time frame to execute the plan. We already acquired 78% of the shares. So there is still some room to keep buying back shares that we plan to do it in the coming months. So with this, we finished the formal presentation. Now we open the line to receive your questions.
Santiago Donato: Now it's time for the Q&A session. [Operator Instructions]. We will take the questions in the order we receive them. First question is, are you seeing opportunities to buy land in Argentina or in the region? And do you expect to sell more farms in the region -- in Argentina and the region?
Alejandro Elsztain: Yes, the first quarter didn't reflect any sale and any purchase. The second quarter is reflecting the first that is the Los Pozos. And there is another transaction in Argentina that is under the way. So probably, we are now seeing a second sale in Argentina. In Brazil, a lot of transactions under discussion, liquidity is strong in that country. So the last year, Brazil had a very active real estate year related to sales. And we keep that expectation for this year that the liquidity in Brazil is still very active. So we think that the 2 countries and maybe Paraguay is receiving some interest too. So yes, related to sales, we expect the next quarters to reflect much more activity. Related to purchase, in Argentina, we are searching for some opportunities for sure. Land in Argentina is really cheap today. And in the rest, we are more active in leasing than in purchasing because of the prices went up, but some cases begin to appear in Brazil, some opportunities because of some companies went to debt strongly in Brazil and cost of debt went up a lot. And so we are seeing some financial prices in some companies in Brazil that could be transformed to opportunities to purchase land. So yes, we think the year will be very active related to real estate.
Santiago Donato: Thank you, Alejandro. Next question. You have mentioned about the problem to distribute cash dividends and shares to ADR holders, how long could it take in your opinion? Also, if unsuccessful, what might be the plan-B that investors could await? And there is another question. Also, it is important to control IRSA for the company in terms of capital and vote right, about 50%.
Matias Gaivironsky: So regarding the first part of the question about the dividend. Unfortunately, we don't have a clear time frame because we depend on government regulations. We are working with them and trying to explain the issue. There is a new rule that basically limits the availability of foreigners to go to the blue-chip swap market and convert pesos into dollars. So we are trying to have an umbrella for the ADRs differently, but it's something that we don't control at all. If we analyze in the past years in Argentina with capital controls, this is the first time that this kind of limitations are in place. So my personal opinion is that going forward with a new administration, there will be some methodology to convert pesos into dollars. We are not talking about using the official exchange rate. So this will be the blue chip swap or financial exchange rate. But I can't commit any kind of time frame or estimation because depend 100% on regulation from the government. So what we decided was to -- try to mitigate the impact of the inflation. The dividend is set in pesos, so we don't have any kind of way to hedge against dollars, but at least to try to preserve the pesos is something that we decided, and the funds will be in the money market funds until we find a solution for this.
Santiago Donato: Second question, it's important to control IRSA for the company in terms of votes and capital rights about 50%.
Alejandro Elsztain: No, there is no need, you really having 30%, 40%, 50% of the company, you can keep the decision and the funds for Cresud are available. So we -- there is not that limited. We were increasing our stake in the recent years because of the price of the share of IRSA was really low. So that was -- there is not that limitation at all.
Matias Gaivironsky: And we distributed the shares in order to [ give ] what we increase from the market and we give the shares to our shareholders.
Alejandro Elsztain: Yes, we bought this year 3% and we distribute the 3% from the market to the shareholders.
Santiago Donato: And there is another question regarding the debt. What would be a comfortable level of debt that you're aiming for Cresud?
Matias Gaivironsky: I believe that the current situation is comfortable, if we measure against the assets that the company control is very conservative. Our LTV is very, very conservative. So I think the current levels are something that we feel comfortable. We used to have a little more. We used to have around 15% more. And we believe that, that level is also comfortable for a company.
Santiago Donato: Thank you. We give some minutes more for any additional questions that you may have. [Operator Instructions]. If there are no more questions, we conclude the presentation and the Q&A. Thank you very much for participating. I will turn back to Alejandro Elsztain for his closing remarks.
Alejandro Elsztain: We are beginning the year, the first quarter is the beginning of a big plantation for the year with good conditions in Argentina, relatable in the rest. And we are optimistic the year that we are facing now. Prices are not so high, but margins are still attractive to farmers. And in our scale, in our regionality, that works in general. And last year was a good example where one effect came to one region. The diversification worked very much. The real estate, I spoke a lot about the next 3 quarters that we are optimistic on that and the servicing too. So -- and for the other side, our investment in IRSA is showing a strong -- very strong recovery, occupancy at very high levels. So the company is now very strong on these [ real tides ] of the world. So we are less debt -- much more or less in debt comparing to the past, so a much stronger situation. And in a few weeks, we are going to see another government running the macro economy of this country. So just to thank everybody -- everyone and to have a very good day for everyone. We see you next quarter. Bye.